Operator: Greetings and welcome to Centrus Energy’s Second Quarter 2021 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to Dan Leistikow, Vice President, Corporate Communications. Thank you. You may begin.
Dan Leistikow: Good morning. Thank you all for joining us. Today’s call will cover the results for the second quarter of 2021 ended June 30. Today we have Dan Poneman, President and Chief Executive Officer; Philip Strawbridge, Senior Vice President, Chief Financial Officer, Chief Administrative Officer and Treasurer; and John Dorrian, Controller and Chief Accounting Officer. Before turning the call over to Dan Poneman, I’d like to welcome all of our callers as well as those listening to our webcast. This conference call follows our earnings news release issued yesterday. We expect to file our quarterly report on Form 10-Q tomorrow. All of our news releases and SEC filings, including our 10-K, 10-Q and 8-Ks are available on our website. A replay of this call will also be available later this morning on the Centrus website. I would like to remind everyone that certain of the information we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and accurate only as of today, August 12, 2021, unless otherwise noticed. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission or rebroadcast of the call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you for your participation. And I’ll now turn the call over to Dan Poneman.
Dan Poneman: Thank you, Dan. And thank you to everyone on the call today. I am pleased to report that after returning to profitability in 2020, Centrus Energy is continuing that trend and had a strong and profitable second quarter of 2021. We saw a total revenue of $62.4 million and posted a net profit of $11.6 million for the second three months of the year. As always, we could not have done this without the hard work and incredible talent of our employees. I’m so proud of all that we have accomplished together, particularly under the unique and ongoing challenges presented by COVID-19. As noted on previous calls, we have been making our customer deliveries without interruption and benefit from the fact that most of our revenue comes from stable long-term contracts. Our LEU business continues to perform well, and we’ve been adding new sales commitments since the beginning of the year. The overall pricing in the LEU market continues to increase each quarter in both the spot and long-term markets, showing positive momentum in the uranium enrichment market. As part of our three-year, $115 million contract with the United States Department of Energy, we are on track to begin demonstrating production of high assay low enriched uranium, or HALEU, by next year. All of the centrifuges have been assembled, construction of the support system is well underway, and in June we secured approval of our license amendment application from the U.S. Nuclear Regulatory Commission, making the American Centrifuge Plant in Piketon, Ohio, the first and only U.S. enrichment facility licensed to produce HALEU. This is a major milestone, not only for Centrus, but for the restoration of American nuclear leadership on the world stage in support of the next generation of advanced nuclear reactors. While Centrus has managed to keep our own construction work on track throughout the pandemic, as we have previously noted, the pandemic has affected some of our suppliers, which has created some challenges. The challenges related to COVID include increased delays from vendors and higher costs. We are working with the Department of Energy to minimize the impacts and to address these cost increases as we go forward. As regular listeners of our earnings calls will know, getting a domestic source of HALEU enrichment up and running is critical to the future success of advanced reactors in the United States. The Department of Energy has made a multi-billion-dollar commitment to these next generation reactors as part of the Advanced Reactor Demonstration Program or ARDP, which will support the construction of two commercial scale advanced reactors in the next seven years and is helping to advance eight other designs toward commercialization. That program cannot succeed without HALEU, since 9 of the 10 reactor designs the department selected for the program, including the two major demonstrations by X-energy and TerraPower, are expected to operate on HALEU. I should note that a number of the advanced reactor developers are reported to be making tremendous progress. In April, it was reported that X-energy signed an MOU with Energy Northwest and a local public utility district to work on citing, building and operating an Xe-100 advanced nuclear power plant in Richland, Washington. And in May, TerraPower joined with PacifiCorp and Governor Mark Gordon to announce that they are working to cite their reactor at a retiring coal plant in Wyoming. And last year, Oklo, developer of the Aurora microreactor submitted the first ever combined license application for an advanced non-light water reactor to the nuclear regulatory commission, and Oklo also requires HALEU fuel. We are thrilled to see these companies moving so quickly to bring their next generation HALEU fueled markets, reactors to market. The initial capacity of our HALEU demonstration will be modest. However, the facility in Ohio is large. It could accommodate enough centrifuges to meet any level of HALEU demand, and we have a modular expansion model so that we can match our capacity to market demand. As explained more fully in our quarterly filing, our ability to operate and to expand the facility is subject to the availability of additional funding and/or offtake agreements. While we are hopeful about that and believe HALEU has a critical role to play in America’s nuclear future, there are no guarantees. Now for more details on the quarterly financial results, I will turn the call over to Philip. Philip?
Philip Strawbridge: Thank you, Dan. Good morning, everyone. As Dan mentioned for the second quarter of 2021 we had total revenue of $62.4 million and achieved a net profit of $11.6 million. Revenue from the LEU segment decreased $18.2 million compared to the same quarter in 2020 when we had that one-time $32.4 million collection from a customer that was in bankruptcy. Excluding that settlement in the prior period, LEU revenue increased by $19 million in the second quarter and $26.4 million through the first half of the year compared to the same periods in 2020. Our cost of sales was $8.1 million higher than the second quarter compared to last year because we had a higher volume of sales, but at the same time, our cost of sales on a per unit basis actually declined. Pardon me. Excluding the recovery on bankruptcy court claims of $32.4 million in the prior periods, the gross profit for SWU sales increased $5.7 million in the three-year period and $900,000 in the six-month period due primarily to increases in SWU sales volume and decreases in the average SWU unit cost, partially offset by decreases in the average SWU sales price. Those of you that participated in these calls before know that we’ve said before that our revenues and margins vary a lot from quarter-to-quarter, but it’s our annual performance that matters the most. In our LEU segment, which represents the majority of revenue, our customers typically have multiyear contracts that include an annual purchase obligation, but not a quarterly purchase obligation. The customer decides what month to take their annual purchase commitment, and it’s in that quarter that we record revenue for the customer’s contract. Some quarters look worse because we have fewer deliveries, while others look better because we have more deliveries. Another source of variation is the fact that some contracts were signed when prices were high or higher than they are today, and others were signed when prices were lower. So a quarter can look better or worse depending upon the price points of that particular contract that we’re delivering in the quarter. On our technical solutions segment, revenue increased $4.9 million in the second quarter of 2021 as compared to the same period in 2020, due to the increased work performed under the HALEU contract and a separate contract we have with X-energy. Cost of sales for this segment increased $5.3 million in the three months ended June 30, 2021, compared to the corresponding period in 2020, largely reflecting the increase in contract work performed. Now I’d like to talk a little bit about our SG&A costs. Our total SG&A decreased $2.6 million in the three months ended June 30 and decreased $2.9 million in the six-month period ending on June 30, compared to the corresponding periods in 2020. We have continued to cut consulting costs, seeing decreases of $2.6 million for the quarter and $3.6 million for the six-month period. Compensation expenses increased $200,000 for the quarter, and other SG&A expenses increased by a net of $200,000. We’ll continue to look for opportunities to reduce our SG&A costs as we have over the last several years. As far as cash, we ended the quarter with a balance of $176 million, putting us in a strong position going forward. Now I’m going to turn the call back over to Dan.
Dan Poneman: Thanks, Philip. Before we get to your questions, let me step back for a moment so that we can see the forest through the trees. The great hockey player, Wayne Gretzky, famously said, "You skate to where the puck is going, not to where it’s been." As the last few months have shown us, from the devastating floods in Germany to the wildfires in the Northwest United States and in Southern Europe, extreme weather events are becoming more common, more intense and more dangerous. The real-world effects of climate change are becoming more evident and more immediate. Government leaders, from presidents and prime ministers to mayors and governors, are faced with increasing pressure to act and to act aggressively. Global electricity demand is expected to roughly double over the next 30 years. But to avoid the worst consequences of climate change, we need to achieve net zero emissions in the electricity sector in that same time frame. In other words, a 100% increase in generation and a 100% decrease in emissions. Wind and solar are clearly part of the answer, and I’ve always believed we should deploy as much as we can, everywhere we can, as fast as we can. But it is equally clear that intermittent renewables are not enough on their own. We need to back them up with firm, flexible, dispatchable, zero carbon generation, which nuclear power is uniquely suited to provide. Maintaining our existing nuclear reactors and deploying the new advanced reactor designs is indispensable to filling the gap. In fact, many of the new reactors, like the ones X-Energy and TerraPower and Oklo are working to deploy are designed with the ability to ramp their electricity production up and down. They can compensate for the intermittency of renewables to help make a zero carbon electricity grid more achievable, affordable, and reliable. Decarbonizing electricity is the first step in any serious plan to confront climate change. And as the pressure mounts on world leaders, demand for zero carbon nuclear should continue to grow. Here in the United States, Congress and the administration have made a commitment to support advanced nuclear power. But that effort cannot succeed without the ability to produce HALEU domestically, filling that glaring hole in America’s nuclear fuel supply chain will become even more urgent in the next few years. We are skating hard in that direction so that we will be in a position to take the puck into the net. Once again, I want to thank all of you for joining the call and more importantly for the trust and confidence that you have placed in Centrus. We look forward to continuing to build value for you, for the U.S. nuclear industry and for the country. Operator, we’d be happy to entertain any questions at this time.
Operator: Thank you. [Operator Instructions] Our first question is from Rob Brown with Lake Street Capital Markets. Please proceed.
Rob Brown: Good morning.
Dan Poneman: Good morning, Rob.
Rob Brown: Just wanted to dig in a little bit into the LEU – sorry, the LEU pricing trends, the – you said it’s increased every quarter. How do you see that kind of going in the near term and then what’s sort of driving that price increase at this point?
Dan Poneman: Great question, Rob. Thanks. So since the market bottomed in August 2018, we’ve seen about a 50% increase. That’s been driven by a couple of factors. There’s a lot of uncertainty in the market that was created by the trade action involving the so-called Russian Suspension Agreement. And the resolution of that agreement restored confidence in the market. That’s a factor. Secondly, the trend up until August 2018 reflected the couple of dominant factors. Number one, obviously beginning March 2011 with the Fukushima disaster, you had Japan taking 54 reactors offline, Germany immediately taking eight reactors offline, a lot of reactors, demand being postponed and so forth. So you had a very substantial decline in demand. At the same time, there were still expansion plants on enrichment that were going on. And so that combination of reduced demand and increased supply obviously had a depressive effect on prices. But as the price continued to decline the reactor operators were continuing to work down inventories and they were not pressed because of those high inventories to go back to market. Ultimately – and the incentives were obviously not to buy too soon because you might miss a better cheaper deal later. Once that inflection point was hit in 2018, as reactor utilities needed to get their fuel, now your incentive structure switches because as the market starts to rise, you have less incentive to wait because you might have to pay a higher price later on. So that demand actually came to market more quickly. And then as I said, the inventories were getting worked down. In addition, there’s been just continued interest in the potential growth of nuclear, which I talked about in some of my prepared remarks. And so that combination of factors has led to continued rising of prices. Now, just to be complete, there are also other factors that could, in time, have a depressive effect. So if for example, reactors continued to close prematurely in the United States of America that would dampen demand and dampened demand would obviously have a dampening effect on the continuation of the existing price curve, which is gently rising.
Rob Brown: Okay. Great. Thank you. And then maybe just, you mentioned a little bit about the [Audio Dip] how has the contract activity going? And are you seeing utilities making decisions on signing the orders at this point and where is that at this point?
Dan Poneman: You gaped out a bit. Did you say, where are the utilities on signing orders?
Rob Brown: I just wanted to get a sense of the order activity from utilities that you’re seeing.
Dan Poneman: Yes. So, as I said, Rob, a few minutes ago, we’ve signed significant amounts ourselves. In recent months we reported $100 million of new sales. So we are seeing utilities coming to market. And I would say in kind of in the normal course, that period that I told you about before where utilities were basically withholding demand from the market as the price was falling, that has ended. And again, I’d like to emphasize the impact of the clarity to the market that the resolution of the Russian Suspension Agreement extension brought to bear was a very important factor in encouraging utilities to come to market. That cloud of uncertainty was a problem, and having removed that has, I think, given utilities greater confidence to sign new contracts.
Operator: Our next question is from Joseph Reagor with ROTH Capital Partners. Please proceed
Joseph Reagor: Good morning guys. Thanks for taking the questions. Okay. So first, on the LEU segment, the sales this quarter, I guess we’re a bit above what the market expectations were, is this solely timing, or did you pick up any additional sales beyond what your annual expectation was at the beginning of the year?
Philip Strawbridge: Probably it’s just – it’s timing. It was timing.
Joseph Reagor: Okay. I just want to, that helps for future modeling. And then on the technical services segment, there’s been a small gross loss there, the first two quarters this year. I think the expectations weren’t that that’d be hugely profitable, but is there anything you guys can do to swing that to a profit in this coming quarters?
Dan Poneman: Philip may want to supplement this, but this – we view this segment as critical to the future of the company. We’re right now in a pivot point for the entire U.S. nuclear industry. And as we said both under the Advanced Reactor Development Program and other projects such as the Oklo Aurora reactor, there’s just a lot of ferment and activity in the industry. As that demand picks up, as commitments become stronger and clearer, both government sources of demand, the U.S. government has its own very important demand for HALEU fuel, as well as the prospect of demand coming from this next generation of reactors, that would be the driving force and the demand signal that would help us bring CTS to profitability. Our objective, we’ve had a huge milestone, Joe, in terms of the June 11 approval by the NRC of the only HALEU license, in other words, our ability under NRC license to go up to 20% enrichment, that gives us an enormous advantage. We’re going to start producing modest quantities early next year. And we view that as the critical stepping stone to an expansion of the plant. And once we move into an expansion phase, that’s when we are looking for more profitable results out of the CTS segment. But I don’t know if Phillip wants to add to that.
Philip Strawbridge: Yes, Joe, I mean as you know, we haven’t given guidance in technical solutions and the reason is just what Dan said. I mean, it’s really our investment for the future. So, I’ll say this, the nuclear industry, particularly that segment, moves rather slowly. So but, we think that we’ve got good opportunities as Dan said.
Operator: [Operator Instructions] Our next question is from Andrew Ginsburg with R.W. Pressprich. Please proceed.
Andrew Ginsburg: Good morning guys. Thanks for taking my questions. So just to get a little bit more clarity around the HALEU centrifuges and you mentioned having a modest capacity, is that – is the max capacity that right now that one metric ton on that that’s been discussed for the demonstration period. And if so, do you guys have any kind of expectations on CapEx requirements to scale that out as any of the demand for HALEU continues to grow?
Dan Poneman: So there’s two parts there. And the first part is yes. I mean, that, that one MTU is the quantity. In terms of the CapEx, I won’t talk numbers per se, unless Philip may want to say something, but I would say, the good news about our overall project design is that we can expand – we can expand in a modular fashion since, as Philip said, a few minutes ago, the actual quantum of the upcoming demand remains uncertain. There’s a lot of optimism, but there’s also uncertainty and there’s a time that will pass between now and the actual bringing to market of that new capacity. So, the good news for us is that we can expand the enrichment cascades in a modular fashion to match the projections of the demand. But that also means that the projections for the CapEx are going to be modular. And so there’s not like a fixed number that we can share with you at this time. But Philip, do you want to expand on that?
Philip Strawbridge: No. That’s right. I mean, because of the uncertainty we want to make sure that we do it properly.
Operator: We have reached the end of our question-and-answer session. I would like to turn it back to Dan for closing comments.
Dan Leistikow: Thank you, operator, this will conclude our investor call for the second quarter of 2021. As always, I want to thank all of our listeners online and investors who called in. We look forward to talking to you again next quarter.
Operator: Thank you. This does conclude today’s conference. You may disconnect your lines at this time. And thank you for your participation.